Operator: Good afternoon, and welcome to State Street Corporation's Second Quarter 2025 Earnings Conference Call and Webcast. Today's call will be hosted by Elizabeth Lynn, Head of Investor Relations at State Street. Today's discussion is being broadcasted live on State Street's website at Investors statestreet.com. This call is also being recorded for replay. State Street's conference call is copyrighted and all rights are reserved. This call may not be recorded for rebroadcast or distribution in part or in whole without the express written authorization from State Street Corporation. The only authorized broadcast of this call will be housed on the State Street website. Now I would like to hand the call over to Elizabeth Lynn.
Elizabeth Lynn: Thank you, operator. Good afternoon, and thank you all for joining us. On our call today, our CEO, Ron O'Hanley, will speak first. Then Mark Keating, our interim CFO, will take you through our second quarter 2025 earnings presentation, which is available for download on our website, investors.statestreet.com. Afterwards, we'll be happy to take questions. Before we get started, I'd like to remind you that today's presentation will include results presented on a basis that excludes or adjusts one or more items from GAAP. Reconciliations of these non-GAAP measures to the most directly comparable GAAP or regulatory measure are available in the appendix to our presentation. In addition, today's call will contain forward-looking statements. Actual results may differ materially from those statements due to a variety of important factors, such as those referenced in our discussion today and in our SEC filings, including the Risk Factors section in our Form 10-K. Our forward-looking statements speak only as of today, and we disclaim any obligation to update them even if our view should change. With that, let me turn it over to Ron.
Ronald O’Hanley: Thank you, Liz, and good afternoon, everyone. Before we begin, I want to take a moment to acknowledge the devastating floods in Texas. Our thoughts are with those who have tragically lost their lives and with the people and communities who have been affected by this event. Now turning to the second quarter. In a period characterized at times by significant financial market volatility driven by geopolitical and economic uncertainty, our strong 2Q results demonstrate the powerful and diversified nature of our franchise by advancing and leveraging our deep capabilities in technology and investment services, markets and investment management. We Continued to strategically position State Street as our clients' essential partner and executed on our purpose to help create better outcomes for the world's investors and the people they serve. Disciplined execution of this strategic approach is delivering positive results, including accelerating financial performance and strong business momentum. For example, on a year-over-year basis, our 2Q results marked the fourth consecutive quarter of positive fee operating leverage and the sixth consecutive quarter of positive total operating leverage, excluding notable items. New business was strong as we generated [indiscernible] record quarter for sales and investment services, surpassed $5 trillion in AUM at State Street Investment Management and generated record FX trading volumes in 2Q. This positive momentum reflects the strong strategic operating and technology foundation we have built over the past several years to support the long-term growth of our businesses. As we work to build on this progress, we remain focused on disciplined execution against our strategy, delivering consistent growth for our shareholders and maintaining operational excellence in the service of our clients. Turning to Slide 2 of our investor presentation. I will cover our second quarter highlights before Mark takes you through the quarter in more detail. Beginning with our financial performance. Reported earnings per share were $2.17 as compared to $2.15 in the year ago period. Excluding notable items, which Mark will speak to, fee and total revenue increased 12% and 9% year-over-year, respectively. We delivered positive fee and total operating leverage, increased pretax margin to nearly 30% and achieved a 19% return on tangible common equity, while EPS increased 18% year-over-year, all excluding notable items. Turning to our business momentum. Within Investment Services, we delivered a very strong sales performance this quarter securing over $1 trillion in new AUC/A asset servicing wins and generated $145 million of related new servicing fee revenue wins, including 2 new State Street Alpha mandates. With this continued good sales performance, we remain confident in our ability to meet our full year servicing fee in wins target of [ $350 million to $400 million ] for a second consecutive year. Second quarter marked an important milestone for our asset management business, which we rebranded State Street Investment Management. This new name reflects our commitment to investing in our relationships, innovation and in the future. Among other benefits, this new brand name reinforces our One State Street approach that aims to leverage collaboration across our firm, expand product offerings and deepen relationships with our clients. This moment for our investment management business came as period-end AUM exceeded $5 trillion for the first time. Quarterly net inflows were over $80 billion, and we continued to gain market share in the strategically important U.S. low-cost ETF market segment. The second quarter also offered further evidence of the strength and depth of our ETF franchise as our U.S. ETFs led the industry in trading volume, surpassing $4.6 trillion in total volume for the quarter, ranking #1 in equity, #1 in commodities and among the top 3 in fixed income. State Street markets is seeing the results of its efforts to deepen client relationships and in Q2, clearly demonstrated its ability to support clients through volatile periods with deep liquidity and trading expertise, while also providing important diversification to our revenue profile. Amid a constructive environment for our markets business, we saw significant year-over-year increases in both FX trading and security finance revenues driven by higher client volumes. Our FX trading business recorded its best quarter since 2020 and security finance revenues rose to the highest level since 2019. Turning to our balance sheet. Our strong financial position enabled over $500 million in capital return in the second quarter and over $800 million year-to-date. Our financial strength was further underscored by the results of the Federal Reserve's annual stress test in June, subsequent to which we were pleased to announce our intention to increase State Street's quarterly per share common stock dividend by 11% to $0.84 beginning in the third quarter, subject to approval by our Board of Directors. As we look ahead, we remain committed to returning capital to our shareholders, subject to market conditions and other factors. Turning to our operational efficiency. We have a well-established track record of expense discipline. This continues to be supported by a proven ability to generate productivity savings to fund investments in our business, which in turn is driving revenue growth and operating leverage. For example, over the last 3 years, we have generated over $1 billion of expense savings, largely from productivity initiatives, and we anticipate that number will increase to over $1.5 billion by year-end as we continue to progress well against our $500 million expense savings target in 2025. Importantly, as we look further ahead, the next generation of our operating model transformation remains our priority and a key opportunity to add even more value for clients and shareholders. The charge [indiscernible] second quarter illustrates this opportunity as we drive further operational efficiency and unlock productivity gains over time, supported by AI and continued platform scaling. To conclude, our first half results build meaningfully on 2024. The second quarter included a number of strategic and platform milestones for State Street, offering tangible proof points that our strategy is delivering, reflected in the continuing improvement in our financial performance and the strong momentum we're seeing across our businesses. These results underscore the strength of our franchise and the disciplined execution of our strategy by our teams. As we look ahead, we have strong conviction in our strategy and in our ability to serve our clients well, underpinned by our distinctive value proposition, financial strength and the next generation of our technology and operational transformation. With that, let me hand the call over to Mark, who will take you through the quarter in more detail.
Mark Keating: Thank you, Ron, and good afternoon, everyone. Picking up on Slide 3. Before turning to our second quarter financial results, let me briefly walk you through the notable items we recognized this quarter. Notable items totaled $138 million pretax or $0.36 per share, primarily driven by a $100 million repositioning charge associated with our ongoing operating model transformation. This action relates to the severance of approximately 900 employees and as we noted in June, is expected to drive expense savings mostly in 2026 with a payback period of roughly 4 to 5 quarters. We also recognized roughly $40 million of notable items related to a rescoping of an alpha client contract along with a few smaller items as detailed on the slide. Turning to Slide 4. Excluding notable items, second quarter EPS grew a robust 18% year-over-year to $2.53 a share. Total revenue increased 9% and fee revenue increased 12% year-over-year, each excluding notable items, reflecting strong business momentum across the business. Expenses increased 6% year-over-year, excluding notable items. Approximately half of the year-over-year increase was driven by a combination of higher performance and revenue-related costs associated with the more constructive revenue environment in the second quarter and to a lesser extent, the unfavorable impact of currency translation. The remaining increase primarily reflects continued investments in the franchise, including technology and infrastructure. This performance enabled us to deliver meaningful fee and total operating leverage, 526 basis points and 241 basis points, respectively, excluding notable items. Accordingly, our pretax margin expanded to nearly 30%, while ROTCE was approximately 19% excluding notable items. Turning now to Slide 5. AUC/A reached a record $49 trillion, up 11% year-over-year, driven by higher period end market levels and client flows. AUM also reached a new record in the second quarter, increasing 17% year-over-year to over $5 trillion reflecting higher period end market levels and positive net inflows. Key market indicators reflected the dynamic operating environment in the second quarter, with higher period end market levels and elevated FX volatility across both developed and emerging markets. Against this backdrop, our markets business performed well, supported by record quarterly FX volumes as we help clients navigate a shifting market landscape, which I'll speak to in more detail shortly. Turning to Slide 6. Servicing fees increased 5% year-over-year, supported by higher average market levels, net new business, improved client activity and the favorable impact of currency translation. We were encouraged by the strong sales momentum in our Investment Services business this quarter, with $145 million of servicing fee revenue wins. These wins were well distributed across regions with key new mandates in Europe and North America and are closely aligned with our strategic priorities, particularly in core back office solutions and private markets. Installations progressed steadily and as expected during the quarter. Onboarding our $441 million of [ to be ] installed servicing fee revenue, the highest on record remains a key priority as we aim to drive consistent, sustainable servicing fee growth. In addition, we reported 2 new Alpha mandates representing $380 billion of our AUC/A wins this quarter. Our interoperable front-to-back Alpha platform remains a key enabler in deepening and expanding client relationships.  Moving to Slide 7.  Management fees increased 10% year-over-year, primarily reflecting higher average market levels and the benefit of prior period net inflows. For the quarter, net inflows totaled $82 billion, driven by solid performance across ETFs and institutional. In ETFs, we saw healthy inflows across the product set, including U.S. low-cost, gold, SPY and U.S.  fixed income.  Our U.S.  low-cost offering achieved continued market share gains in the quarter, reflecting the strength of our strategic positioning in this segment. As Ron noted, the market volatility in the second quarter further highlighted the deep liquidity of State Street Investment Management's ETF franchise, which led the industry in U.S. ETF trading volumes. In our institutional business, we delivered a record $68 billion of quarterly net inflows driven by continued momentum in retirement, including our strategically important U.S. defined contribution business. Overall, we were pleased with the strong performance of our investment management business in the second quarter, which generated a pretax margin of approximately 33%. Turning now to Slide 8. FX trading revenue increased 27% year-over-year, excluding notable items. This strong performance was driven by record client volumes with solid activity across our trading venues, reflecting heightened FX volatility in the quarter. Securities finance revenues increased 17% year-over-year, with strong balanced growth across both agency lending and prime Services. Within our prime services business, fee revenue increased 29% year-over-year, supported by higher balances and continued momentum in client engagement. Moving to Slide 9.  Software and processing fees increased 19% year-over-year in the second quarter, excluding notable items. Front office software and data revenue increased 27% compared to the prior year quarter, excluding notable items. This strong performance was primarily driven by higher on-premises renewals, largely associated with CRD wealth clients. In addition, software-enabled and professional services revenues increased 10% year-over-year, excluding notable items, reflecting continued momentum in SaaS client conversions and implementations. We are pleased with our ongoing success in transitioning clients to our cloud-based SaaS platform with annual recurring revenue increasing by approximately 10% year-over-year to $379 million in the second quarter. Moving to Slide 10. Net interest income of $729 million was down 1% year-over-year, primarily due to the impact of lower average short-end rates and changes in deposit mix. These headwinds were partially offset by continued loan growth and securities portfolio repricing. On a sequential basis, NII increased 2% supported by growth in non-U.S. deposit balances, securities portfolio repricing and loan growth, partially offset by the impact of lower average short-end rates. As detailed on the right of the slide, the average balance sheet size expanded relative to 1Q driven by a 7% increase in average deposit balances. The sequential increase in average balances was partly a reflection of the more uncertain macro backdrop that we observed early in the quarter, which moderated through May and June. We remain committed to supporting our clients with our strong, highly liquid balance sheet. Looking ahead, while we expect deposit balances to remain somewhat elevated relative to our expectations coming into the year, we do anticipate that balances will continue to moderate over the coming months and quarters subject to market conditions. Turning to Slide 11. Expenses increased 6% year-over-year, excluding notable items, as I mentioned earlier. Compensation-related costs were up 7% year-over-year, excluding notable items, mainly reflecting higher performance-based costs and the impact of currency translation, while total headcount was down slightly. Information systems and communications expense increased 11% year-over-year, excluding notable items, as we continue to invest in technology and infrastructure to modernize our platforms while enhancing data delivery and user experience. At the same time, we continue to execute on our productivity and optimization savings initiatives, which generated over $150 million in year-over-year savings during the quarter. Year-to-date, these efforts have delivered approximately $250 million of savings towards our $500 million full year target. Our ability to consistently generate productivity and optimization savings reflects the intense work of recent years and is a key enabler of strategic investment fueling technology modernization, supporting revenue growth and helping us drive 6 consecutive quarters of positive operating leverage, excluding notable items. We expect the repositioning actions taken in the second quarter to build on this momentum and support the continued transformation of our operating model in the quarters and years ahead. Moving to Slide 12. Our capital and liquidity levels remain strong, enabling us to continue supporting our clients as we look ahead. As of quarter end, our standardized CET1 ratio of 10.7% was down approximately 30 basis points from the prior quarter. Risk-weighted assets increased approximately $8 billion from the prior quarter, reflecting growth in our lending and securities finance businesses as well as higher volumes and volatility in our FX trading business. The LCR for State Street Bank was a robust 136% in the quarter. Capital return increased to $517 million during the quarter, consisting of $300 million of common share repurchases and $217 million in declared common stock dividends for a total payout ratio of 82%. As Ron noted, following our strong performance in this year's Federal Reserve stress test, we also announced our intention to increase our first year quarterly common dividend by 11% in 3Q, subject to Board approval. Looking ahead to the second half of the year, we continue to expect a progressive cadence of common share repurchases, targeting a total payout ratio of approximately 80% for 2025. In summary, we are encouraged by our second quarter and first half results, which highlight our ability to execute on our strategy, driving sustained business momentum while delivering positive fee and total operating leverage, excluding notable items. With that, let me turn to our improved full year outlook, which as a reminder, excludes notable items and remains subject to significant variability given the current economic and geopolitical environment. Over the first half of 2025, we have demonstrated our ability to drive sustainable growth across our core businesses. Given this strong performance, plus the current more constructive market environment and the anticipated impact of currency translation, we now expect 2025 total fee revenue growth in the 5% to 7% range, which is an improvement to our prior 3% to 5% full year outlook. We expect full year NII to be roughly flat to last year's record performance, with the potential for some variability driven by global monetary policy and changes in deposit mix and levels, which are difficult to predict. With our improved revenue expectations, full year expense growth is now expected to be roughly 3% to 4%, up from our prior full year outlook of 2% to 3%, reflecting higher revenue-related costs as well as expectations of a negative impact from currency translation. And importantly, we continue to expect to generate both positive fee and total operating leverage this year. And with that, operator, we can now open the call for questions.
Operator: [Operator Instructions] Our first question will come from Ken Usdin with Autonomous.
Kenneth Usdin: I just wanted to just ask on kind of like fees and fee operating leverage. Just kind of walking through the implied [indiscernible] fee update. And what drives that? Is it mostly just the market's backdrop? Is it what we see in terms of the yet to convert? And anything in terms of like how the timing of these great new wins and still left to convert will come through?
Ronald O’Hanley: Yes, Ken, it's Ron. Why don't I start that. As we've noted, our pace of sales continues to be at an accelerated level. We said we were going to do in servicing fees [ $350 million to $400 million ]. We're on track to do that. That's what we did last year. That has led to a fairly sizable, in fact, a record level of fees to be installed, roughly $440 million, about half of that is going to install this year, and yet we're adding to that at about the same pace. So just on sales alone, there's a bit of a flywheel element to it. We've talked about what's occurred in the asset management business that continues to grow fees at a double-digit rate some of that market, but there's been positive organic revenue growth throughout these whole periods. And then finally, in markets, we'd invested heavily in client relationships that really do pay off when you get times of elevated volatility. So the organic elements in here are the primary driver of what we're talking about assisted by some constructive markets.
Kenneth Usdin: Okay.  Great.  And can you talk about just the -- new ones you're putting on and put it in context with the client rescoping that occurred, like is that now kind of done in the past issue or is there anything else that we could see with regards to that type of thing going forward?
Ronald O’Hanley: We don't anticipate anything like that going forward. As we noted, we had 2 new Alpha wins this quarter, 3 Alpha installs. In terms of the nature of the back -- of our servicing fee revenue wins, about half of that are back office related, which -- that's a combination of pure back-office sales plus Alpha, which now only come with back office sales, we will not do something alpha-related without some kind of back office element to it because as you know, back office drives recurring fees, but also gives us the right to other revenue sources like deposits like FX, like securities, finance and that. So in terms of that one client, it remains a very important client to us, where it's a very important partner to us. And basically, they changed one element of it. Instead of going to a single platform, they're going to be a multiplatform in their front office. And we have built Alpha to be interoperable. So whether it's Charles River or some other provider or Charles River plus another provider as it will be in this case, we've got the ability to interoperate in that way, and we'll be providing all the other services that we intended to. More importantly, this was a client that worked with us right at the very beginning, the development side of what we were doing. So going back to the 2019 time frame. And all that development IP still remains with us, which is important because it's being extended to other clients.
Mark Keating: And Ken, it's Mark. Maybe I'll just add to that just to make sure. This is -- it was very contained to a software client contract rescoping, so it had no impact on the servicing fee revenue to be installed, did not have an impact on our assets to be installed that was very contained, as Ron said, to one particular aspect of a software agreement, which we renegotiated and took the appropriate kind of actions on our -- that we've talked about here [indiscernible] notables.
Operator: Our next question comes from Glenn Schorr at Evercore.
Glenn Schorr: Maybe we could step back and ask just a big picture question of NII that feels a little different for you guys. And you've been consistent in talking about something in the range of flat year-on-year after good '24. But feels like the NIM has moved lower more so than others and balances, your thought process on moderating is more so. Is there something maybe related to your client base that's a little bit different? I appreciate the full package of operating leverage and better margins and all that. I just want to focus on the NII for a second.
Mark Keating: Yes.  Thanks, Glenn, it's Mark. Let me take you through this kind of 2 part of there. One was kind of our overall NII guide. And then secondly, there's, I think, a specific question on NIM, which I can get at as well. So first, I'd say our guide, as you mentioned, is generally consistent with our original outlook of flat year-over-year, and I said roughly flat because there's still some amount of variability of the factors that we always talk about in terms of rates and deposit mix and levels. I think now that we're halfway through the year, you expect that we'd be able to start to narrow, possibly narrow the outcome that we're seeing here. But again, we feel good about being able to continue to deliver on our guide of roughly flat standing here today. If you look at the first half of 2025, NII has been roughly flat to slightly down versus again the record year we had in 2024. First half was down about 0.6% versus the first half of last year. So we're tracking well to our guide, given some puts and takes that I can get into in a little more detail. So again, holding NII flat to a record year after 6% growth last year, it means we're delivering on our guide and executing well in terms of what we've laid out for you. And we understand how important NII is, obviously. But if we unpack the NII guide with a little more detail, and I'll frame it in the same way that we've been doing it since January and then again in April, using kind of the 4 buckets of drivers and describing what the impact is to us as a firm in terms of tailwinds and headwinds. So the first one would be deposit levels. And obviously, you saw those go up this quarter. So interest-bearing deposits have certainly provided upside versus our expectations in what we talked about in January and then again in April. While noninterest-bearing deposits have actually largely played out as expected, notwithstanding an early pop in the second quarter. We did have a near-term benefit in April during the peak of market volatility, uncertainty. However, in May and June, and then again, as we sit here in mid-July, we have seen some normalization in deposit balances since the quarterly high point in April. I'd also point out the majority of the spike in assets and deposits that we saw happened in lower spread buckets like market rates and exception rates. And so they did carry a more limited benefit for us. So mix is important. So while deposits are up about 7% sequentially, our noninterest-bearing balances where we have the widest liability spread that was down sequentially roughly $1 billion. So we think deposits will remain like somewhat elevated, but we do expect to see some leveling off over the coming months, and we'll obviously continue to track that closely. In terms of other impacts, again, to us as a firm, our loan growth we've talked about that's also played out as expected. It's been a tailwind year-over-year, and I can talk about that a little bit more in depth. The investment portfolio reinvestment. We talked about $4 billion a quarter at 100 to 150 basis points in terms of benefit there, given where rates are, we're seeing it more at the lower end, around 100 basis points. which brings us then to like the major bucket for us, which is short-term rates. And as we've discussed previously, we are an asset-sensitive bank. We've seen rates come down faster than expected. If you look at the U.S. treasury curve, the 2-, 3-, 5-year rates are down 50 to 60 basis points over the first 6 months of the year on a spot basis also non-U.S.  central banks.  While the ECB and the Bank of England have largely been in line with expectations, albeit a little more aggressive in the case of Bank of England in terms of timing, other central banks have actually been relatively more aggressive in the lowering of their rates such as the Reserve Bank of Australia and Canada. I've talked previously about a cut at the ECB or Bank of England being worth about $5 million to $10 million per cut per quarter for 25 basis points. And while Australia and Canada may not be that large to us when you start to look across several of the central banks, it does start to add up as headwind. So hopefully, that helps and that we're putting all this together, we're kind of standing back from it. We have some positives, like short-term pop in interest rates and interest-bearing deposits, some negatives like the pacing of cuts. But we see it as being relatively balanced, which brings us back to a guide of roughly flat to our record year of NII in 2024. So again, we understand how important NII is. We've been pleased with our ability to deliver on our guidance. This is 20% of the revenue of the company.
Glenn Schorr: That was awesome.  I really appreciate all that. Ron, I got 1 quick 1 for you.  I can't resist.  You guys have been great acquirers in the past and integrators. You almost got [ BBH ] done, but through no fault of your own that one fell through. I'm curious if you share any thought process with us on what you thought when you saw the news, when we saw the news that maybe [ BK and Northern ] were doing the dance? I'm just curious what cross your mind and how we should think about that.  .
Ronald O’Hanley: Well, I'm not going to comment on market rumors, either about ourselves or others, but our view on M&A remains consistent.  We have a lot of confidence in the organic growth capability and potential of our franchise. But we've always viewed M&A as an important complement to our strategy. but it's a high bar, right? You have to show that is it actually -- is it a good trade-off for shareholders to sacrifice a return on capital to some kind of investment that's going to yield some kind of return. And so it's a high bar. But as you know from us, we evaluate these things. Our focus is -- of late has largely been around capability building. So if you think about some of relatively small investments we've done over the past year or 2, small case, the technology platform in India, Ethic, the direct indexing player, the investment in Envestnet, all about helping to augment our capabilities and propel us forward. We will always look for opportunities to build scale. And you've seen us do some of those in the past. But right here right now, we're quite happy with our position, and we'll continue to focus on serving our clients well and building out our capabilities. And if something comes along that makes sense, we'll evaluate it.
Operator: Our next question will come from Jim Mitchell with Seaport Global.
James Mitchell: Maybe just talk a little bit about the asset management business, record net inflows in the institutional channel and long-term assets. That's a pretty big change from what we've seen in recent years. So can you just talk to, is there anything kind of lumpy in there that may be not to get too excited about? Or do you feel like there's a real turn in sort of the organic growth in that space? And how do we think about the fee rates in the long-term institutional AUM space?
Ronald O’Hanley: Yes.  So I'll answer for the second quarter first. For the second quarter, it's a little bit of both. We have seen and talked about consistent organic growth in the institutional channel, mostly in defined contribution. And that's in the U.S., but not just the U.S. That's been led by a combination of innovative products. We were the first to be out the door with some kind of an income protection product embedded in a target date fund. We've got a -- we're doing lots of different partnerships to add innovation to target date funds. And we're doing that not just in the U.S. but outside the U.S. In addition, in the second quarter, we had a large new mandate from an existing client in Asia Pacific. And so that helped drive that number, which was a record quarterly inflow for us in the institutional business. But kind of on a -- if you will, on a structural basis here, the investment in D.C. for us has been very important. We're very tied in with the investment consultants. We've got a very strong product set that we're constantly innovating and bringing both our know-how to it, but also when it makes sense, bringing in partner know-how. And so we're quite bullish on that segment.
James Mitchell: Okay.  That's helpful.  And maybe just pivoting to regulation. It seems like some of your bigger peers benefit from the SLR being lowered. You guys already had some exemptions, so you're still somewhat constrained by the Tier 1 leverage ratio. Do you -- in your conversations with regulators, do you think there's any acknowledgment of the Tier 1 leverage constraint? And do you think that could also be lowered in the future?  What's your sense?
Ronald O’Hanley: Yes.  Jim, so I mean you've portrayed it accurately. We've gotten relief earlier. So Tier 1 leverage as it relates to leverage constraints that is the binding constraint at this moment. I think there's some acknowledgment amongst regulators. This is something to be looked at. I don't think it's something that's going to be looked at immediately.  It may take till the end of the year for that because there's other things obviously around around GSIB and stress tests and things like that. That are reportedly higher up on the agenda. But I would say that we're in this period where I think 15, 16, 17 years after the financial crisis and all the changes that were put in place after that. I think there's -- for the first time, at least in the U.S., there's a real look at this. And I don't think any of us expect or even are asking for a massive across-the-board rollback, I think that you're seeing a very sensible look both within agencies and across agencies. And I think that will play out favorably both in regulation and also even how the supervisory environment works. And so it's a -- I think it's a constructive environment now for large GSIBs.
Operator: Our next question will come from Alex Blostein with Goldman Sachs.
Alexander Blostein: Ron, I want to go back to the sales momentum you highlighted in the institutional servicing business. And again, I appreciate the disclosure you guys put out there a couple of quarters ago, both on the fee backlog and the few wins that's obviously relevant. In the last several quarters, maybe a year or so, the redemptions have been fairly elevated. Obviously, part of that is BlackRock. But are you, I guess, aware of anything notable on the redemption side that could sort of offset some of the strong wins you're having? And maybe a little bit more color on the sources of these wins and how investors should think about sustainability of this new business within servicing, potentially turning kind of the growth algo around in that part of the business?
Ronald O’Hanley: Alex, let me start. I think that we've been quite consistent now going back 2 or 3 years that we had recognized to make some changes on the servicing side. And also, at the same time, we're investing heavily over the past several years in our operating model, which drives service quality. And service quality is those 2 things for you. One, it drives retention rates up. And two, it gives you the right to win with existing clients and deepened relationships with existing clients but also to be able to show up with new clients or takeaway clients. And that's all playing out as we said it would. So we do not see any kind of any kind of elevated loss rate. In fact, we're quite pleased with where our retention rates are now. In terms of the nature of the clients, again, Alpha is a very important platform for us. So that's driving that's driving fee wins kind of across the stack, front office, middle office, back office. But if we really think about it as if it doesn't -- as I said earlier, if it doesn't come along with back office, then we're really not interested in it or it will be a lower priority for us. What we're also finding is that there's an increasing appeal for Alpha within the private space as we're seeing an increasing appeal just in general, as the private markets move from an in-sourced market to an outsourced market. And then finally, our global footprint is really helpful because we saw a lot of wins -- a fair number of wins this quarter outside the U.S., which again shows the power of the global franchise here.
Mark Keating: And it's Mark.  Maybe I'll just jump in to offer a couple of maybe proof points and some context on that. And to kind of maybe talk through how this has been building. This is not a kind of just recently, we've started looking at posting these type of sales results. And I think I've talked about this before. Back in 2019 and 2020, we were doing $140 million, $160 million in servicing fee sales, and then we started to take that up in $250 million, $260 million in '21 and '22. And that's when we started talking to all of you about setting a more aggressive target for that of the $350 million to $400 million. And again, that came from understanding our business, and we've talked you through this before, the kind of rubric we have around fee compression and deinstalled business each year. And we knew that, that number needed to be much higher. So then we did $300 million in '23, and then we did $380 million last year. And if I put it in context, we just talked about $145 million for the second quarter, and it was a very good quarter, and we've talked about how it can be lumpy and all that, but it was a very good quarter. And you go back and put that in context. That's more in the second quarter than we did in all of 2020. So to me, that's a real change. That didn't just happen. We changed our organization, our incentives. We focused on service excellence, like Ron talked about, and we invested in products and features and functionality. So we expect the performance to stay in that range, and we know we need to target that going forward. And with proper execution, that's going to really power the business forward.
Alexander Blostein: Got you.  Great.  That's very helpful. Mark, I wanted to follow up with you on your answer to Glenn's question around NII and sort of how you guys are thinking about it on a forward basis. So obviously, no 2026 guidance just yet. But as you sort of pointed to being asset-sensitive bank, the forward curve is what it is. So help us maybe think about what are the things you guys could do and what are you working on to perhaps mitigate the effects of lower interest rates as you look out beyond this year. And importantly, is the interplay between NII and operating leverage, you guys have been focused correctly on both positive fee operating leverage and positive total operating leverage. Is that kind of total operating leverage dynamic still possible if NII sort of peaks and starts to go down from here?
Mark Keating: Yes.  Thanks, Alex.  I guess, obviously, don't want to get into anything around 2026. I mean there are things that we have been doing in terms of looking at our client deposit pricing. We've been looking at our balance sheet strategy. We've been looking at our investment portfolio. So there's many things that we can look at on all those things that we have been in trying to gauge where we're going into 2026 with NII. But I think it's just -- it's pretty early to start talking about that now.
Operator: Our next question will come from Mike May with Wells Fargo.
Michael Mayo: I just wanted a clarification, just with all the discussion here. So did you benefit from [ heightened ] volatility and how you see that going down and NII is at a peak and now you see that going down? I guess, are you overearning the way you look at things or not?
Mark Keating: Mike, it's Mark.  I can start with that. And in terms of the volatility, so maybe let me talk a little bit about our FX, our markets business. And again, as we've said, we think that business performed very well in the second quarter. We saw -- and we did see some heightened FX volatility, but we also saw the payoff in our strategy of expanding geographically in Continental Europe, for example, has been a big focus for us. We've increased our product mix, added some capabilities and things like derivatives. We've deepened our client engagement both existing clients and new clients in privates and hedge funds, which, again, those businesses. The private markets business, we've been talking about that. I mean that has been growing, I think, year-over-year it grew 19%. And again, that brings new clients, new opportunities for our markets business as well. And that's what really powered sequentially FX trading being up 18% sequentially and year-over-year, 27% again ex notables. So in how we look at the second half, with continued political and economic risks, we expect the investment climate is going to remain challenged. The volatility we've seen is really from multiple sources. So geopolitics, national economics and politics differing central bank policy. So that type of divergence between countries, we think is reflected in the FX markets. And so while a replay of the second quarter is not our base case, we do expect volatility to likely be more sustained. We're going to have to see where it plays out from here. But hopefully, that gives you a little more color on the market side.
Ronald O’Hanley: Mike, it's Ron.  I'd add 2 things to that. The heightened volatility in markets was really an April event, real spike in volatility, but it came back down this as well as anybody. So I think after April, the benefit of our deepened client relationships were as important as anything here.
Michael Mayo: On the other hand, I get the cyclical high point here that you come down for that volatility. On the other hand, it seems like some of the core businesses are doing better, like Charles River quarter-over-quarter, some kind of growth rate you've been uptiering the sales force? Are you still upgrading? It seems like you have some core business momentum that you didn't have a few years ago? Am I looking at the right data, do you have anything to substantiate that?
Ronald O’Hanley: Yes.  I mean, you are.  And I'll just pick up on what Mark said a few minutes ago, $145 million in servicing sales in [ 2020 ], $145 million of servicing fee sales in the second quarter of this year. And I think that actually does paint a good picture. Secondly, I would just point to the guide. And we try and be very straight with our -- with you when we give guide at the beginning of the year. We gave you a 3% to 5% guide, we're giving you a 5% to 7% guide now, which I think reflects what we're seeing in terms of the increased power of the franchise.
Operator: [Operator Instructions] Our next question will come from Beth Graseck with Morgan Stanley. .
Betsy Graseck: I had a question on an announcement that was made on July 1 with University of California on building a super app for individuals. And it was interesting, I wanted to understand thought process behind investing in this. And is this a one-off? Or are you anticipating broadening this out to other participants, partners? And is there anyway this would feed into other parts of State Street or is it a goodwill venture?
Ronald O’Hanley: Yes.  So Betsy, firstly, the University of California, it's a long time partner of ours. And this initiative is quite consistent with our strategic commitment to the wealth business within State Street Investment Management, Wealth now is about -- it's a little over $1 trillion -- I don't know, $1.2 trillion of our total assets and growing quite rapidly through the ETF channel. And we have a a commitment to the wealth services business. But part of this is an overall belief that the democratization of wealth is continuing unabated. And in spending some time with the University of California, we realized that they were a quite interesting partner because if you add up all of their stakeholders there. So you look at students, faculty, employees and alumni, there's 350,000 potential stakeholders there. They're quite close to most of them, and it becomes an interesting platform to start to experiment with new sorts of offerings. So it's a bit of an experiment for both of us, but certainly, our objective would be to develop something that firstly work for the University of California and then was leverageable in other places. So we look at it as a way to at scale, develop some innovative offerings for the wealth market consistent with this idea of democratizing investing and being able to extend that or potentially being able to extend that elsewhere.
Operator: Our next question will come from Ebrahim Poonawala with Bank of America. .
Ebrahim Poonawala: Just a couple of follow-ups. One, on capital, and I apologize if you clarified on this, but I think I heard you talk about 80% payout for the full year. Just give us a sense -- remind us in terms of from a capital perspective, what we are managing to. In terms of the ratio, it feels like you have a lot of flexibility there? And what stops you from leaning in and doing more in buybacks than the 80%.
Mark Keating: Yes, sure.  It's Mark.  Let me just maybe a 2-parter. I'll talk a little bit about our capital return, and then I'll talk a little bit about CET1, which is really the ratio that we're managing to here. So you're right, I mean, we previously talked about 80% payout. So we've also highlighted previously that our intention is to return capital at a progressive cadence through the year. So you saw that going from Q1 up into Q2 now at $517 million, which was an 82% payout, was $320 million in Q1. So we expect to move through the third quarter and then into the fourth quarter, anticipating additional step-ups as we move to deliver on our overall payout target of 80% subject to market conditions and other factors, obviously. So that's kind of still our guide, and that's what we're committed to. In terms of CET1, I think we've talked about this before. Current -- given the current environment, we are continuing to prudently manage toward the higher end of our 10% to 11% CET1 target range. You should generally expect us to continue in that range and managing to that as our clients really appreciate the value, financial stability and soundness and appreciate us running the business at healthy capital levels. And also, I'd say, we're cognizant of our own sensitivities around our RWA stack, which can swing several billion at quarter end with market volatility, and that's what you saw this quarter, right, with our 10.7% print. So still, again, very much in line with what we've talked about over the last few quarters.
Ebrahim Poonawala: Thanks, Mark.  And just one quick. I think you talked about deposit balances elevated, but maybe drifting lower in the back half. Just give us a sense of when you think about noninterest-bearing or overall deposit balances, what gets them growing again? Is there a trough that we should look at from a cycle standpoint or just how you're thinking about it, yes?
Mark Keating: Yes.  So maybe a couple of things. First, in terms of overall levels, so Ron mentioned it earlier, too, April was really the month that had the most volatility, and we saw the quarterly like period spike, right? That's what happened in April. And then we saw deposit levels overall come down in April -- sorry, in May and then again in June. And then sitting here in mid-July, our deposit levels are not too far off, like our expectations that we had given back in April around the kind of high end of the  [ 230 to 240 ]. It's not quite down back to that high end of that range, but it's approaching it, sitting here kind of middle of July. So that's number one. Number two, on noninterest bearing. Again, it was down $1 billion quarter-to-quarter. We expect that -- as we've said before, we expect that to continue to moderately decline, maybe into the low 20s is what we've talked about that's kind of generally deposit levels. Your question about raising deposits, the best way that we can raise deposits is to sell and install back-office business.  right?  Custody brings deposits, custody brings FX trading revenue, securities finance revenues, all the kind of good stuff that goes around custody as the hub of the company. So $444 billion in [ to be installed ] revenue, of which roughly 60% of that is back office, which means custody.  That's a good sign in terms of our ability to generate custody client-related deposits. And if we keep the flywheel spinning on the servicing fee sales target, that's what we'll see.
Operator: Our next question will come from Brian Bedell with Deutsche Bank.
Brian Bedell: Just 1 housekeeping 1 quickly and then a longer-term one. The housekeeping is just the -- your assumptions on market returns for the second half that underpin the 5% to 7% guide.
Mark Keating: Yes, sure.  Let me take the opportunity to maybe take you quickly through kind of the macro points that are underpinning the guide? And I guess I will just start with the equity market. So entering the year, right, we expected 5% point-to-point, which implied average market levels up 8% for the year. Obviously, as we sit here today, we're tracking a bit better than the assumptions we had coming into the year. So that's constructive in our current guide. So you expect that to be a tick higher. That said, we've seen considerable volatility over the past quarter. So we'll continue to monitor developments there and see how the averages go up from here. So that should cover the equity market appreciation side.
Brian Bedell: Okay.  Great.  And then longer term one for Ron.  On the concept of tokenization of equities and ETPs and other assets, how are you thinking about that longer term? And I guess just your view and whether you think that will evolve more slowly over time? Or do you think there's a stronger movement and maybe some of the pros and cons of that? And what does State Street doing to to be a participant in any kind of trend?
Ronald O’Hanley: Yes, Brian.  So we think about it in 2 ways. One, as a bank ourselves, but maybe more importantly, as an important servicer to other asset managers, so we do see tokenization has been slower than I think anybody anticipated if you go back 3, 4 years. But I think with the current administration and the regulatory frameworks really in most parts of the world starting to emerge, we think that the pace on that will continue to accelerate. And the opportunities for tokenization are really broad. I mean we -- it's not just the tokenization deposits, tokenization money market funds enables uses of that money market of these kinds of assets in a different way than originally anticipated. It could be, in some cases, used for collateral better than it could be in other cases, for example. So we think this will -- as regulatory frameworks are developed. We think this actually will accelerate. I think the questions that the regulators, particularly the bank regulators need to deal with all of these things is -- how do they think about core deposits? And how do they think about banks as the transmitters of monetary policy. And to the extent to which any of this causes more deposits to lead the banking system, I mean, remember, money market funds seem like a passing fad 4 years ago and now $6 trillion is out of the banking system. So I think that's a little bit of the unknown and where regulators come down on this. But given the breadth of tokenization opportunities, let's broaden it out to real assets and the ability to actually take assets that right now are paper intensive, very legal intensive and be able to make them much more liquid. We think that this will start to take off at an accelerating pace, but probably nowhere near as much as the [indiscernible] as fast as you optimist thinks it will. But for us, we need to be there and intend to be there. First and foremost, as a servicer -- as a major servicer to these markets and secondly, as a bank ourselves.
Operator: Our next question comes from Gerard Cassidy with RBC Capital Markets.
Gerard Cassidy: Can you guys come back to the sensitivity of revenues to market moves? I think in your 10-K, you give us that 10% increase in equity -- global equity valuations generally leads to maybe a 3% increase in service fee revenues. When you look at your service fee revenue growth this quarter of 12% ex notable items, how much was associated to market conditions moving higher?
Mark Keating: Gerard, it's Mark.  I guess I'd just say that 10%, 3% is servicing fees. And so our servicing fee growth year-over-year is 5%, the 12% is total, including software and trading and asset management. So obviously, the -- I don't have it in front of me, but obviously, the impact year-over-year of where markets have been has been positive. It's been a positive to us, and that has generally been pretty consistent in terms of the -- if you see a 10% growth, again, over time because quarter-to-quarter can be -- we've talked about this before in terms of billing cycles and whatnot. But the 10%, 3% for servicing fees, and it's like 10%, 5% over from asset management has been pretty consistent.
Gerard Cassidy: I see -- and maybe, Ron, just a broader question. You've referenced in your opening comments about the rebranding of State Street investment management and how that reinforces one State Street strategy approach and how you're going to leverage the collaboration between different product offerings and deepening your relationships with your clients. How as outsiders, can we measure that success as you achieve those deeper relationships?
Ronald O’Hanley: It's a good question, Gerard, and we should take that away and think if there's some additional disclosures that we want to make to help on that. But if you -- let me talk about it at a kind of conceptual level, if you think about our client base, and this is across the firm, we have one broad set of clients, which is really the global institutional investors is our our client base. If you think about the subsegments of that, for example, asset owners, pension funds, sovereign wealth funds, insurance companies, those clients -- we serve them both from an investment services basis, from an asset management basis and from a market basis. A large segment is our asset managers. There, we're really not servicing them out of their investment management business, but we're providing services and markets. So this idea of one State Street and how do we deliver the whole firm. Part of it is because if you think about who we are, notwithstanding our size, right, we've got a relatively small number of relatively large clients. So it's very important that we be able to, one, help deal with their issues and address their strategic objectives at the highest level and be able to do that across our firm. So it's not just about words, I mean part of that is you have to then think about how your relationship-facing force is squared off against that. We've made a lot of changes over the years in that regard so that rather than have just product-specific sales efforts, we have, particularly for our largest clients and our global clients, we have relationship managers that think about the total of State Street. And your point is a good one, and we'll think about how we can actually show you the results we see them, but we can think about how to disclose those in some way.
Operator: There are no further questions. I will turn the call back to management for closing remarks.
Ronald O’Hanley: Well, thank you all for joining us this afternoon.